Operator: Good day, everyone, and welcome to the Blucora Fourth Quarter 2014 Earnings Results Conference Call. This call is being recorded. With us today from the company is the President and CEO, Bill Ruckelshaus; Chief Financial Officer, Eric Emans; and the Senior Director of Investor Relations, Stacy Ybarra. At this time, I would like to turn the call over to Stacy Ybarra. Please go ahead, ma'am.
Stacy Ybarra: Good afternoon, and welcome to Blucora's investor conference call to discuss fourth quarter and full year 2014 earnings. Before we begin, I'd like to remind you that during the course of this call, Blucora representatives will make forward-looking statements including, but not limited to, statements regarding Blucora's expectations about its products and services, outlook for the future of our business and growth initiatives and anticipated financial performance for the first quarter and future periods. Other statements that refer to our beliefs, plans, expectations or intentions, which may be made in response to questions, are also forward-looking statements for purposes of the Safe Harbor provided by the Private Securities Litigation Reform Act. Because these statements pertain to future events, they are subject to various risks and uncertainties, and actual results could differ materially from our current expectations and beliefs. Factors that could cause or contribute to such differences include, but are not limited to, risks and other factors discussed in Blucora's most recent quarterly report on Form 10-Q, on file with the Securities and Exchange Commission. Blucora assumes no obligation to update any forward-looking statements, which speak only as of the date the statement is made. In addition, during this call, our management will discuss GAAP and non-GAAP financial measures. In the press release, which has been posted on our website and filed with the SEC on Form 8-K, we provide GAAP and non-GAAP results, along with reconciliation tables and the reasons for our presentation of non-GAAP information. We have also provided supplemental financial information to our results in the Investor Relations section of our corporate website at www.blucora.com and filed with the SEC on Form 8-K. Now I'll turn the call over to Bill Ruckelshaus. Following his comments, Eric Emans will review fourth quarter results and first quarter outlook, then we'll open up the call to your questions.
William J. Ruckelshaus: Thank you, Stacy, and good afternoon. 2014 was a busy year for Blucora. Our results in the fourth quarter reflects focused execution across our 3 segments. Consolidated revenue in Q4 of $108.1 million and adjusted EBITDA of $5.6 million were at the high end of the guidance provided last November and we saw positive progress against improvement initiatives underway in our Search and Content and E-Commerce segments. I'll start with a brief overview by operating segment and close with the run-through of key focus areas for our teams in 2015. InfoSpace revenue in Q4 exceeded the high end of guidance. I'm pleased with the progress of InfoSpace President Peter Mansour and the extended team. They are moving quickly to define forward opportunities for InfoSpace and HowStuffWorks and expand non-search capabilities and partnerships to diversify our business. The focus for Peter and team this year is clear: address challenges in our legacy distribution network; strengthen our owned and operated sites, including HowStuffWorks; bring our strengths in audience development and monetization to quality content publishers; and closely align the above initiatives with our search engine partners to ensure smooth operations. At Monoprice, we showed positive signs in the fourth quarter despite a competitive holiday season that challenged profitable promotion of key products. Monoprice President Bernard Luthi has taken swift and effective steps since coming aboard last summer. As previously discussed, the return to growth at Monoprice will be driven by reigniting product innovation, optimizing our sights on all device types and expanding third-party channels to complement direct site distribution. Monoprice is a fantastic under-leveraged asset that has years of runaway ahead of it and strong leadership at the helm. More on the operational turnaround at Monoprice later in my remarks. TaxACT is off to a good start in the 2014 tax season and performing to plan. It's been a noisy early season: an expedited start by the IRS, confusing pricing actions by competitors, exhaustive online and off-line marketing and endless speculation regarding the impacts of ACA on filer behavior. In response, the TaxACT team is doing what it always does: delivering on its core promise to customers. We will have more to say later in the call, but mid-season credit to TaxACT's President JoAnn Kintzel and the team for guiding the business with the usual steady hand in the face of a rowdy start to the season. Heading into 2015, I'm confident in the collective strengths and opportunities in our portfolio. Our challenges are being addressed decisively by capable leadership. We entered the year focused on specific operational improvements and positioning our businesses for growth. The goal in 2015 is to respond to pressures, while exploiting opportunities in Search and Content, deliver at TaxACT and grow Monoprice. Further, our balance sheet provides financial flexibility and the capacity for M&A should we identify compelling opportunities. The valuation environment continues to be challenging, so we remain patient with respect to this piece of our medium-term strategy. Eric will provide more information on our financial results later on the call. Now I'd like to update you on the focus at each of our 3 businesses, starting with Search and Content. Collaboration with our search engine partners is active and there is improved transparency and alignment behind our growth initiative. The strategic shift at InfoSpace starts with creating rich content experiences across our owned and operated properties. InfoSpace has long been a leader in content discovery. We are extending that capability to create a Discovery Channel for quality content publishers that are poised to grow their audience. HowStuffWorks is a perfect example. Educating, entertaining articles, videos and podcasts across a diversity of topics. The team is ramping content creation, driving engagement and growing audience through social syndication and prominent featuring within our network. These efforts are driving meaningful incremental traffic, growing loyal followers and expanding content distribution. In turn, we are taking these learnings in O&O to a new set of content publishers with similar opportunities. Case in point, we recently launched a new partnership with a premier magazine publisher. Our solutions feature partner content across our network, HowStuffWorks and other channel, expanding audience to their more than 30 multichannel magazine brand. This is a logical and attractive direction for Search and Content. Online publishing is proliferating across device types. InfoSpace brings data reach and technology to drive content discovery across multiple channels, helping quality publisher partners connect with intent-based audiences across all screens. These solutions to broaden our partner base to include content publishers with a diverse -- with diverse unmet need is a critical piece of our evolution. Our legacy distribution network performed as expected in Search and Content in Q4. The trends we discussed last year continue to persist. Given the relative size of this part of the business, we expect continued volatility in Search and Content overall. The positive signs in O&O and new content partners offer potential for stabilization and sequential growth later in the year. Now turning to E-Commerce. In the fourth quarter, we saw increased return in customers and improved conversion rates, which provide opportunity for accelerated momentum in 2015. Inventory levels presented challenges in the period, in large part due to slowdowns at West Coast ports. More on this topic later. The Monoprice brand stands for quality products at fair prices with great customer service. Our customer base was built over time by making good on this promise. In 2015, Monoprice is pursuing a number of product initiatives like -- in popular categories like HDMI cables, portable power, pro audio and security. Refreshing our offerings in these categories is a critical plank in our plan. The turnaround at Monoprice is focused in 3 principal areas: number one, product innovation. This is really job 1. Exciting, innovative products at eye-popping prices will keep us top of mind, reignite our core and expand our customer base. Number two, operational enhancement. Under Bernard's leadership, there is ongoing focus on site optimization, user experience, marketing efficiency and faster delivery times. These steps will drive performance improvement throughout the year. Number three, channel development. There is a significant opportunity for Monoprice, getting our products in the hands of customers, wherever they shop for great tech gear at fair prices. These opportunities include expanding our presence in online marketplaces, retail and B2B sales channels. In closing, we believe in the multiyear opportunity of Monoprice. There is a tremendous upside potential in making our products top of mind, driving on-site performance and broadening availability outside of Monoprice.com. The above action plan will accelerate growth in 2015 and beyond. In Q1, our outlook is challenged by continued port slowdowns on the West Coast. We can't be sure when a resolution will be reached and currently expect there to be meaningful revenue in segment income effects this quarter relating to this issue. Eric will speak to this later in the call. Turning to tax. TaxACT was also built on a brand promise to consumers: easy, fast and free. And we continue to deliver on that promise this season. TaxACT means fairness, authenticity and transparency to filers. The notion of free and do-it-yourself tax has been clouded. Competing providers tend to define free in very small print. At TaxACT, there is no confusing messaging. Our offers extend to all filers, and our Price Lock Guarantee means filers pay the same price when they start and finish their returns. The noise is deafening this season. TaxACT remains consistent in their approach and has not deviated. Critics and consumers alike are taking notice. PC Magazine honored TaxACT again this year with their Editors' Choice Award for best tax software. On the product front this season, we introduced a new and improved TaxACT Express, the company's smartphone app that now offers free federal and free state. TaxACT Express offers everything consumers need to file simple federal and state returns for free. The application is garnering rave reviews in Android and iOS and driving engagement in filing activity by users. We also upgraded our assistant prep product to include improved import capabilities, added organization tools and new reports to assist clients with tax strategies. Our DIY offering for small business filers, now available on the desktop and in the cloud, is gaining traction again this year. Overall, early trends show very positive results in both prep and SMB channels. The TaxACT message is resonating across all channels: consumer assisted and SMB. We're pleased with the performance to date and are well positioned to deliver against our revenue and profit plans this season. Our focus this year, as in past seasons, is on profitable share, to compete and win in online DIY. We don't chase share with price-based offers that exclude certain filer segments. TaxACT's value to consumers remains the strongest in the industry to all filers. Over the long run, this advantage will be reflected in TaxACT's market position. With that, I'll turn the call over to Eric for more details on the financial.
Eric M. Emans: Thanks, Bill. I'm going to go quick -- I'm going to quickly touch on the full year performance and year-end balance sheet and then I will move to the fourth quarter performance, where I'll spend some time discussing the trends in the various segments. With that, let's get started. Consolidated revenue for the full year was $580.7 million, up 1% from prior year, and adjusted EBITDA was $102.9 million, down 10%. At a high level, these results reflect a challenging year for our Search and Content segment, which experienced a year-on-year revenue decline of 24% and segment margin compression of 215 basis points. Tax Preparation had a great year, who's revenues were up 14% and segment margin increased 340 basis points. E-Commerce revenue was up 4% year-on-year on a pro forma basis, and on a reported basis, revenue and segment income was up as it included a full year of Monoprice operating results. Non-GAAP net income for the year was $82.4 million or $1.92 per diluted share. We recorded a GAAP net loss for the year of $35.5 million or $0.86 per share and reflects -- and this loss reflects a $62.8 million noncash goodwill impairment charge recorded in the fourth quarter related to our E-Commerce segment. Given the performance of Monoprice since acquisition and GAAP requirements, a write-down of goodwill and trademark assets was required. To be clear, this charge does not change our long-term view on the business. We believe we have the right leadership and team in place at Monoprice to get this back on track in 2015. Turning to the balance sheet. Exiting the year, the federal equity NOL asset had a value of $570.4 million. In 2014, we utilized approximately $70 million or cash tax savings of approximately $23 million. The accrual basis portion of this benefit is reflected in our non-GAAP net income and EPS. Continuing with the balance sheet. Cash, cash equivalents and short-term investments are $301.3 million and net cash of $6.1 million. During 2014, we repurchased 2.3 million shares at an average share price of $16.85. This included fourth quarter repurchases of 600,000 shares at an average share price of $14.50. Transitioning to the fourth quarter 2014 performance. Consolidated revenue was $108.1 million and adjusted EBITDA was $5.6 million, both within our guidance range expectations. Non-GAAP net income was $2 million or $0.05 per diluted share. GAAP net loss for the quarter was $68 million or $1.67 per share, again driven by the aforementioned impairment charge of $62.8 million. Now let's walk through the fourth quarter segment performance, beginning with Search and Content. Revenue for the quarter was $65.3 million and segment income was $9.8 million, both above the high end of our guidance expectations. Owned and operated revenue bounced back in the quarter and was up 12% sequentially as we saw improvement in our marketing efficiency that allowed us to put more marketing dollars to work during the quarter. This was in part due to improvements in quality scores, which is a reversal from the third quarter and something we continue to monitor closely. Thus far, these scores are holding in the first quarter. Also, Bill touched on the early traction we have seen in our new initiatives. But as to be expected, these will take time and profitability will lag revenue growth as we scale and optimize. Distribution revenue was down 19%. The decline was due to changes in and enforcement of search customer policies as well as requirements around our own compliance efforts as well as losses to traffic -- losses to competitors, which occurred mid-third quarter and further impacted the fourth quarter. In the first quarter 2015, we continue to experience downward pressure in distribution, primarily driven by our removal of a large partner from our network at the end of the year. This partner represented 8% of Search and Content revenue in the fourth quarter. Our outlook for the first quarter is as follows: revenue of $54 million to $61 million and segment margins of high 12% to high 14%. Shifting to E-Commerce. Revenue for the fourth quarter was $40.3 million, up 2% versus prior year and within our guidance expectations. Segment income was $2.9 million and segment margin was approximately 7%, the low end of our guidance expectations. Bill touched on quarterly performance drivers related to promotions, discounting and inventory issues related to the port slowdowns. Orders were down 5% versus the fourth quarter 2013 but up 15% sequentially, reflecting promotional activity around Black Friday and Cyber Monday. Average order value was up 7% year-on-year and down 8% sequentially. It is worth noting our mix shift to channels like Amazon retail worked to suppress order counts and increase average order value, making year-on-year comparisons difficult. Further orders were impacted by the aforementioned inventory issues related to the port slowdowns. Looking ahead to the first quarter, port slowdowns continue to impact sales as we struggle to maintain inventory for our most popular products. The team is on top of the situation and doing what they can to lessen the impact. Our first quarter outlook factors current inventory levels and the assumption that the port slowdowns are likely to worsen through February and into early March. As such, our expectations are as follows: revenue of $33.5 million to $36 million and segment margins of 4.5% to 6.5%. The port situation is obviously fluid. A prolonged slowdown or work stoppage could impact our ability to meet these expectations, while a quicker-than-expected resolution could allow for upside. Turning to the Tax Preparation segment. Revenue for the quarter was $2.5 million, and we recorded a segment loss of $3.1 million, both at the high end of our guidance expectations. Bill has touched on the competitiveness of the tax season, and thus far, we are pleased with the TaxACT team's response. As such, we are reiterating our first half 2015 tax guidance of revenue of $108 million to $110 million and segment margin of 55% to 56%. We expect that approximately 75% of the revenue will hit in the first quarter at the segment margin of approximately 51%. Finishing off on the fourth quarter results. Unallocated corporate operating expenses came in at $4 million. We expect modest sequential increases in the first quarter. Closing with our consolidated first quarter expectations. We expect consolidated revenue between $168 million and $179 million, adjusted EBITDA between $45 million and $49 million, non-GAAP net income of $35.9 million to $39.6 million or $0.85 to $0.94 per diluted share, and net income of $18.2 million to $20.9 million or $0.43 to $0.50 per diluted share. With that, let's turn the call over to the operator and we'll be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Dan Kurnos with The Benchmark Company.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Let's start with Search here. First, can you guys give us a little but more granularity, let's take O&O here, on the impact from the recent AdWords policy change, if any, and if HowStuffWorks saw any benefits, given its content-rich nature, plus what HowStuffWorks contributed to the quarter?
Eric M. Emans: Dan, it's Eric. So first of all, we kind of think of compliance in policies as an ongoing effort. We work transparently with our search engine partners. And so I would say that we talk pretty much at depth of what we see in the business and things it impacted. In the third quarter, we talked about quality scores that were impacting our owned and operated business. And we've seen a reversal of that in the third quarter and as well as the team making some improvement around marketing efficiency and are deploying dollars at a better return. So I wouldn't be willing to comment on any specific policy but just to say it's an ongoing effort that we take on and work very close with our search engine partners. As far as HowStuffWorks, we really haven't broken out any detail on page views or anything like that so I'm unable to comment at this time. But we continue to work closely to generate content and get it up. And we think it's a really good experience and, as Bill touched on his in script, is really a cornerstone to what we're looking at as far as how we're going to pivot the business and content and HowStuffWorks is a key part of that.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: So Eric, just to be clear and not put words into your mouth here, but it sounds like O&O is expected to continue at least sequential improvement despite the marketplace changes?
Eric M. Emans: Right now, that's what we're seeing, and that is built into our guidance in the first quarter.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Great. And then on distributed, I guess, we'll skip the AdWords impact. But are we still targeting sort of a second half stabilization? We've heard from, obviously, some competitors that the Chrome changes have sort of flowed through already. And it sounds like you're seeing -- or at least the industry is seeing some CPC benefits due to all the policy actions.
Eric M. Emans: Again, we pretty much talk about this business at a revenue level, and certainly, I think the biggest -- the headline around this business has been our compliance efforts and some of which are impacting us in the Q1 as we did remove a partner from the network, actually, in the fourth quarter. As far as stabilization, that's really something that we've always been challenge around visibility. I think what I would say is given some of the pressure on that revenue stream and various partners over the last 6 months, we certainly would expect impacts to be muted just because of the relative size of that segment of our business now compared to the rest and at the fact that owned and operated is growing. And look, stabilization is something we strive for every quarter. I think what I would say to that is that as we have decreased the emphasis on distribution and as well as its size, we kind of a -- we have less concentration within our network. By definition, it has begun to stabilize, but it is certainly subject to ongoing pressures and as we saw it going from third quarter to fourth quarter, where we had 9% -- 19% sequential decline. So I think what we're really focused on is the pivot and moving this business forward.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: And obviously, let me just take a step back and ask kind of a higher-level question. Can you maybe talk about the switch to programmatic buying, how your partners are reacting to the evolving landscape and how you are evolving your O&O strategy?
Eric M. Emans: Yes. So there's a certainly a component of our monetization inside of HowStuffWorks that is leveraging programmatic. And there are opportunities inside of programmatic to not just participate in a somewhat anonymous way as a publisher, but to negotiate directly in sort of a private exchange manner, which offers an even more attractive monetization opportunity. And the good news about HowStuffWorks is it is a very brand-friendly property. And so the success that we had pointed to at the time we announced the acquisition in terms of HowStuffWorks being able to work with brand advertisers in a way that was mutually satisfactory. We're seeing that continue to be the case. And so revealing ourselves of those opportunities inside of programmatic is really an opportunity as well. So we're just getting started on the programmatic side and we think there's a lot of more outside there.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Let me switch once more to tax and then I'll jump off. Can you guys at least attempt to quantify the potential benefit from -- into its missteps this year, including raising their deluxe pricing and the local fraud issues they've encountered and whether or not you are impacted to an extent by elevated levels of state filing fraud?
William J. Ruckelshaus: Yes. So I think the season is too early to really start commenting in terms of the horse races, so how we're all going to perform relative to one another. It has been an absolutely event-filled early few weeks of the season. My guess is that things will stabilize and quiet down a little bit as we approach mid-April. But I think it's difficult to handicap, and there's a lot of things going in either direction that contribute to that. As far as fraud, I think the very direct answer to your question is we have not seen an uptick activity on our side or across our filer base. We have been free in federal for over a decade, TaxACT, as you probably know, and as a result of that, have well-established fraud detection systems in place that I think service well both at the federal and state level. And we're not seeing an uptick in activity.
Operator: Our next question comes from the line of Gil Luria with Wedbush Securities.
Gil B. Luria - Wedbush Securities Inc., Research Division: So first, let me just ask about TaxACT. I just put out a bulletin that said filings at this point are basically at the same pace as last year. So filings today are pretty equivalent to last year. So things have normalized. Where are you season to date on volume growth? And has that -- did you have to react to TurboTax going to free federal and free state for some categories early in the season, which will end up costing you on revenue per filing?
William J. Ruckelshaus: Gil, it's Bill. So in November, we talked about our expectations for the coming season. And Eric, correct me if I'm wrong here, but I think the broad brush strokes were 1.5 of filer growth, 3% to 5% in DIY growth in the category. And then we provided some revenue expectations for TaxACT in the first half of the year. And as you heard in our introductory remarks, we continue to believe in the first half guidance that we provided back in November, based on season-to-date performance. And I think the fullness of time as we get through the back half of the season, we're just now coming upon what we term the 50% mark and getting the early season sort of behind us in the next week or so. And we'll fully expect to have a quiet middle season and then a fast and furious late season. I think it's later in the year -- later in the season and later in the IRS updates when you begin to see things on a more normalized basis. And frankly, the indications we've seen thus far about market data are not surprising to us, given the levels of promotional activity and some of the pricing actions. But suffice it to say that this is a business and this is a marketplace that is dynamic and so the TaxACT team is on the edge of its seat and responding in ways that we think are in the best long-term interest of our filers and Blucora.
Gil B. Luria - Wedbush Securities Inc., Research Division: Then you mentioned a lot of discussion about the Affordable Care Act. There's one aspect that you can probably see in your results or in the behavior of filers on your side. Is there -- have you seen an unusual amount of abandonment at this stage, where you go through the questions related to the Affordable Care Act in the interview process?
William J. Ruckelshaus: Yes. So that's -- that was a -- that's a good question. The TaxACT customer base is a savvy group of filers that have found their way, not just to DIY, but to TaxACT for a reason. And we feel and felt, heading into the season, very well prepared for ACA and any added steps or complexity, both within the application as well as outside of it in terms of content and support. And thus far, there are no indications, as we look at filer activity, that ACA forms are materially impacting behavior or altering confidence on the part of our customers in terms of doing their own taxes.
Operator: Our next question comes from the line of Alex Paris with Barrington Research.
Joseph D. Janssen - Barrington Research Associates, Inc., Research Division: It's actually Joe. Let me stay with tax here. Could you -- there's kind of a -- just for clarity purposes, right, tax season got underway. TurboTax seem to be out there with suspicious pricing. But all points lead to -- it seemed to be, I don't want to put words in your mouth, but a bait and switch on their part and that now then you had the fraud element on top of that. But did your data tell you -- can you see through applications or how the process works? Are you seeing any flow of customers that previously were TurboTax and now coming to TaxACT?
Eric M. Emans: Joe, it's Eric. We don't really -- we never really disclose that level of detail. We certainly have ways, as far as imports as well as surveys, to ascertain that information on a sample basis. Look, I would say the one thing that I could share with you at a trend is that we feel like our desktop product is off to a good start. And I think that one could easily ascribe some of that to maybe some of the negativity around Intuit's desktop product. But other than that, I really couldn't give you much color of -- every year, there is a certain amount of switching that goes on in the industry. And certainly, I would say that the pricing offers and the aggressiveness of the competitors out this year is going to lead to more of that switching activity and why we focus on kind of profitable share growth. We're trying to attract the people that will stay with us for multiyears and not folks that we are going to see 1 year and then after -- and then we're going to lose the next year. And so we try to keep a long-term view. And I'm sure that Turbo sees folks from us every once in a while as well, but thus far that's the only thing I can share with you.
Joseph D. Janssen - Barrington Research Associates, Inc., Research Division: No, I appreciate that. And then let me just ask -- let me just pile on the ACA question within tax. And a fair statement to say. There's that -- where we think perceived complexity out there that's probably not happening based on your comments. And then maybe in terms of -- you said you didn't see a dropoff and I'm just kind of maybe trying to quantify that in terms of retention rates. So you probably haven't seen a material dropoff?
Eric M. Emans: So, Joe, look, I think -- we're not out here trying to make an industry statement. I mean, I think the industry and shifts between assisted and DIY are largely predicated on 2 large players in the space that are very competitive of one another every year. And so I think there's a lot of things that affect our balance. What we can talk about is our filer base and what we're seeing, and thus far, I would say that we're not attributing any effect of ACA to our filer base at this time.
Joseph D. Janssen - Barrington Research Associates, Inc., Research Division: Okay. Fair enough. I appreciate it. And just the last question. In terms of the 2 new divisional heads, Bernard and Peter, any idea in terms of what you might make them available to The Street and just kind of hear their thoughts?
William J. Ruckelshaus: Yes. I think we'll have more to say on that later in the year. We've given some thought to that and, I think, are formalizing plans. And as soon as we have more to say, we'll come forward with that, but I appreciate you asking.
Operator: Our next question comes from the line of Scott Schneeberger with Oppenheimer.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Guys, I'll go to tax as well. Just following up on Gil's question with regard to the IRS data. I think you answered it pretty well as normalizing through the year. It is -- the data that we saw earlier this afternoon was up 1%, 1.5% for E-files for the total industry with negative for tax professionals and now it's mid to high single digits for self-prepared. But we saw that in the first week of February last year. So the -- and then it smoothed out over time with both being positive with about a 500 basis point spread relating to self-prepared last year. I think that ties very closely into your guidance, your outlook for self-prepared. So the questions embedded in this are, do you see -- since we got an extra 10 days this year of start time, your thoughts on how that might have disrupted the IRS filing and the numbers we see now. Should it be fairly normalized or not? And number two, you kind of answered this already. But do you expect the kind of normalization through the season that we saw last year, taking everything into consideration?
Eric M. Emans: Scott, it's Eric. To be fair to us on this side of the phone, I mean, we're still digesting that information. We have impeccable timing with earnings calls and having IRS data hit 45 minutes before that call. So I would say that early read is it is a very noisy season, which we talked about. Certainly, the timing difference as well as very competitive offers out there are challenging comparisons. I mean, at first glance, we would definitely say we expect a certain amount of normalization to happen out over the year. And about all that I can say after that is the team is focused on doing what it does and hitting its financial plan, which we reiterated it today on the call. So maybe more to come on that as we get into our next call, but really too early for us to take a hard perspective, given the availability of the data.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Yes, certainly can appreciate the answer. Following on that, which is probably a little easier to answer, certainly, we've seen some dynamic marketing strategy this year in the tax space. Could you speak to your marketing approach, maybe some of your changes that you've made as reactionary to others, but also really how you started the year, how you're thinking about the marketing budget and the go-to-market advertising?
William J. Ruckelshaus: Yes. So this is Bill. The TaxACT history is really focused around direct response marketing. The sort of orientation of the company for years was around engaging in channels where at or in close proximity to that time, a user was going to be making a decision with respect to their tax prep solution and trying to get in front of them with the right message. That continues to be the case today. We have been working with the team at TaxACT around a multiyear brand component to their marketing as well, which we think is certainly an opportunity and I -- they certainly share that view. So it is a dual-pronged effort. And ultimately, if you get it right, those efforts are complementary of one another and not working in opposition. So they're going about it in both ways. I'd say the messaging has evolved over the last couple of seasons to really focus on empowerment of the filer, particularly as this year is a good example to lots of discussion out there and speculation around added complexity and how much will that shake the confidence of the demographic and the psychographic filers inside a DIY. And it's our view somewhat self-servingly that that's overblown. But a lot of the messaging you see around TaxACT is to sort of convey the ease of use, reliability, accessibility of the TaxACT product, which we think are all very high quality and they grade out very high in those dimensions, in addition to the value equation in terms of their fair price. So that's the orientation. It's weighted online, but there is an off-line component as well.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Great. One more, if I could, and it's probably one you're not going to answer. I'll throw it out there anyway. It's a follow-up on the prior ACA question. I think the answer you provided that you haven't seen drops is probably the most resounding that you've been able to handle that. And then you addressed it a little bit more in the following question. I'm curious, are you seeing -- I know you don't want to make an industry segment, but are you seeing as many ACA returns where the customer's engaging as you would have expected, maybe not? I know it's probably too early to tell and you're probably not giving an answer, but just asking it one final way.
Eric M. Emans: You're clairvoyant. It's too early to tell and it's something we're not going to get into on this particular call.
Operator: Our next question comes from the line of Michael Millman with Millman Research.
Michael Millman - Millman Research Associates: So pushing some more to try to understand the numbers we saw today, but generally what we had seen in the past was categories, it was TaxACT and higher priced. And now it seems that some of the Block and Intuit have brought their prices down to where yours are. How is this changing the industry? Is this -- can the others actually make a go of it with this kind of pricing? And anything else that you might like to help us think through this.
William J. Ruckelshaus: Yes. So this is Bill. I would say that this season is more competitive than we've seen in the past several seasons. And there are those dynamics in terms of price-based offers on the part of the major players. One of the lessons that the TaxACT team has learned over the years is that just looking at share without taking care of your customers is fraught with issues and challenges your long-term outlook. And I would say the approach that the TaxACT team is taking this season is reflective of that belief. And as I said in my opening remarks, it is our view that TaxACT's value proposition to all filers remains the strongest in the market and that over the long run, our market share and market position will reflect that.
Operator: And we have a follow-up from the line of Gil Luria.
Gil B. Luria - Wedbush Securities Inc., Research Division: Just a very quick one, Eric. You went through the guidance very quickly. TaxACT, you said that you expect 75% of revenue or the profit in Q1? And then 51% EBITDA margin in the quarter or the first half?
Eric M. Emans: Yes. Sorry. Let me touch on that real quick. So it was $108 million to $110 million for the first half of the year. They're roughly 55% to 56% segment margin. We expect about 75% of the revenue to hit in Q1 at about a 51% segment margin.
Operator: We have another follow-up from the line of Dan Kurnos.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Yes. So no one seems to want to ask too much about E-Commerce, so I'll bite. Bill, do you have a sense of what normalized growth would've been, excluding the West Coast dock issue in the quarter? And should we think about this year as building towards Q4 again with a focus on SKU and channel distribution expansion on the front half of the year and then maybe a larger marketing push in the back half? And do think it's possible that you could achieve double-digit growth at any point this year?
Eric M. Emans: So what I'm going to do, Dan, is I'm going to step in and grab the first one and I'm going to give you an answer on an order basis. So we spent some time looking at things, and certainly, this is complicated a little bit by what I touched on in the mix shift. Some of the higher percentage of our sales coming through Amazon retail, which then manifests itself in the lower order accounts and higher ARPU -- or average order value. So normalizing, let's just say, for the mix shift, we think in general, we would have probably been, call it, a couple of percent, call it, 2% up year-on-year and the fourth quarter probably at a bit, on an order basis, about flat and then normalizing for what we're seeing in the -- some of the shipping slowdowns. And again, this is extrapolating and all kinds of stuff. But what I could tell you is we do believe we would have been up by a couple of percent, about 2% to 3%, year-on-year in the fourth quarter given the slowdown. And so yes, it is impacting our business and we've talked about it for revenue and segment margin basis of what that impact will be in the first quarter and certainly, somehow, we're keeping an eye on. As far as building to the fourth quarter, look, we're -- Bernard's now been in place with us since mid-July and we've made a lot of progress. And I think, yes, 2015, we'd fully expect to get on track for growth. As far as normalized growth, I think let's just start by getting it back into the mid to high single digits and then go from there, which is certainly what we're focused for this year.
Operator: And we have a follow-up from the line of Scott Schneeberger.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Just one more in the tax area. I'm curious. Obviously, one of the big 3 in tax self-preparation is seeing a disproportionate amount of fraud attention this year. And you guys importantly mentioned that you're not seeing a tick-up in activity. Clearly, everyone is a bit impacted by fraud year in, year out. I'm just curious. Any anecdotal commentary you can share when you see customers affected, typically innocently so and disrupted. How would you categorize their behavior in the following tax season to the extent you study that?
Eric M. Emans: Yes. Just to clarify, this is Eric, you're asking what our opinion of the consumer view of the fraud situation?
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Yes. If I'm someone who maybe has someone else fraudulently prepares a return using my Social Security number, and I'm affected and -- just how do I react with regard to my interaction with my tax preparation companies, be it self-prepared software, or how that person was able to do it and if there's an affiliation? You may not have looked into it that deep, but I'm just curious. With fraud affecting the industry, what happens the following year typically to the extent you've studied it? Anything anecdotally, I think, would be helpful for us.
William J. Ruckelshaus: Yes. It's a good question. This is Bill. The first thing that I think is somewhat of a misperception as it relates to fraud and the fallout from fraudulent activity or an uptick in fraudulent activity is that it becomes a referendum on software versus assistant, whereas technology and software is prevalent on both sides. This is 60-40 divided. And so that tends to be a conversation that I think can go in the wrong direction, which is consumer behavior to the extent that it's altered as a result of fraud and concerns about security and privacy would not so much point one in the direction of the assisted versus DIY as much as I think more around maybe a desktop product, whereas on the client side and less online, we have seen, as Eric mentioned, an uptick on desktop for us this year that is indexing at a higher rate than the online product and perhaps is attributable to the dynamics you mentioned. But that's probably as much as we can say at this point on that.
Operator: And with no further questions, that concludes today's presentation. Thank you for your participation, and you may now disconnect. Everyone, have a great day.